Operator: Ladies and gentlemen, welcome to the Quanta Services Fourth Quarter and Full Year 2012 Earnings Conference Call on the 21st of February, 2013. [Operator Instructions] I will now hand the call over to Kip Rupp. Please go ahead, sir.
Kip A. Rupp: Great. Thank you, Michaela, and welcome, everyone, to the Quanta Services conference call to review fourth quarter and full year 2012 results. Before I turn the call over to management, I have the normal housekeeping details to run through. If you would like to have Quanta news releases and other information e-mailed to you when they occur, please sign up for e-mail information alerts by going to the Investors & Media section of Quanta Services' website at quantaservices.com. A replay of today's call will be available on Quanta's website at quantaservices.com. In addition, a telephonic recorded instant replay will be available for the next 7 days, 24 hours a day, that can be accessed as set forth in the press release. Please remember that information reported on this call speaks only as of today, February 21, 2013, and therefore, you are advised that any time-sensitive information may no longer be accurate as of the time of any replay of this call. This conference call will include forward-looking statements intended to qualify under the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. These forward-looking statements include all statements reflecting Quanta's expectations, intentions, assumptions or beliefs about future events or performance that do not solely relate to historical or current facts. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict or are beyond Quanta's control, and actual results may differ materially from those expected or implied as forward-looking statements. Management cautions that you should not place undue reliance on Quanta's forward-looking statements, and Quanta does not undertake any obligation to update any forward-looking statements to reflect events or circumstances after this call. For additional information concerning some of the risks, uncertainties and assumptions that could affect Quanta's forward-looking statements, please refer to the company's annual report on Form 10-K for the year ended December 31, 2011, its quarterly reports on Form 10-Q and its other documents filed with the Securities and Exchange Commission, which may be obtained on Quanta's website or through the SEC website at sec.gov. With that, I would now like to turn the call over to Mr. Jim O'Neil, Quanta's President and CEO. Jim?
James F. O'Neil: Good morning, everyone, and welcome to the Quanta Services Fourth Quarter and Full Year 2012 Earnings Conference Call. I will start the call with an operational overview before turning it over to Derrick Jensen, Quanta's Chief Financial Officer, who will provide a detailed review of our fourth quarter and full year financial results. Following Derrick's comments, we welcome your questions. Before I begin my overview, I'll comment that any references to financial results in my prepared remarks have been adjusted to exclude discontinued operations. 2012 was a record year for Quanta. Our fourth quarter and full year 2012 results reflect strong demand for our services and continued solid project execution. For the full year, revenues increased 41%, and GAAP diluted earnings per share from continuing operations increased 143%. Our 12-month backlog was near record levels, and total backlog was at record levels as of December 31, 2012. Our employee count at the end of this year's fourth quarter was approximately 17,800, up 15% compared to the fourth quarter of last year. We are in a dynamic environment where Quanta is recognized as the industry leader in providing energy infrastructure solutions to our customers. We are also the employer of choice and continue to retain and attract exceptional people into our organization. Despite working nearly 10 million more work hours in 2012 than 2011, we reduced our lost time incident rate by 17%, which demonstrates our commitment to safety and the high quality of our workforce. These factors contributed to organic revenue growth exceeding $1 billion in 2012, or an increase of approximately 36%. We believe we are in the early stages of a multiyear build-out of energy infrastructure in North America and remain well-positioned to maintain our leadership role in the industries we serve. We will continue to leverage this leadership position and execute our strategic initiatives to grow both organically and selectively through acquisition, as we actively pursue opportunities to expand solutions to our customers and further differentiate Quanta from our competition. Effective January 1, I promoted Duke Austin to Chief Operating Officer to lead the pursuit of these strategic initiatives and to lead our organization into the future. Duke brings over 25 years of experience in the markets we serve and is the fourth generation of his family serving the electric power industry. I'm very pleased to have Duke in this extremely important role. We continue to build momentum in our Electric Power segment during the fourth quarter. We were in construction on a record 14 large electric transmission projects with contract value averaging over $200 million throughout North America. We were just as active on smaller transmission projects as customers continue to upgrade existing transmission infrastructure to comply with NERC reliability standards. Our electric distribution revenues grew near double-digit rates for the full year of 2012 as our customers' focus on reliability has been heightened due to the storm events impacting the United States over the past 2 years. During the quarter, our emergency restoration service revenues were approximately $130 million, driven primarily by Hurricane Sandy, which impacted the Northeast United States. More than 8 million homes lost power due to this devastation, and Quanta deployed more than 800 crews to 12 states in the District of Columbia to assist with the power restoration efforts. Preplanning with our customers in the days before Hurricane Sandy made landfall allowed us to position the majority of our resources in impacted areas well advance of the storm, enabling us to begin restoring possible as soon as it was safe to work. Our employees had no serious safety incidents despite working more than 40,000 man-hours in an extremely challenging environment. I want to congratulate our crews for their commitment to safety and thank them for their dedication to restore power to the victims of this catastrophe. While emergency restoration revenues positively impacted our fourth quarter and full year 2012 results, our record results in 2012 were also driven by strong performance in our Electric Power segment due to the significant volume and solid execution of electric transmission projects underway. Excluding emergency restoration revenues in each period, Electric Power segment revenues grew approximately 39% in 2012 over 2011. The electric utility industry continues to drive initiatives to improve the reliability of North America's electric transmission and distribution system and to interconnect new generation sources. We continue to believe that transmission spending will remain robust for at least the next several years and likely beyond, driven by reliability mandates, switching generation from coal to gas and the interconnection of new and existing renewable generation facilities. Turning to our Natural Gas and Pipeline segment. Revenues increased substantially in 2012 as compared to 2011. More importantly, operating income increased $139 million year-over-year, primarily due to our strategic shift over the last 18 months to capitalize on shale infrastructure opportunities throughout the United States and Canada. We expect demand for our pipeline shale gathering services to remain active in 2013. Our customers continue to execute development programs in liquid-rich shales at a fast pace, and insufficient gathering pipeline infrastructure in many of these areas remains a bottleneck to efficiently transport product to market and processing areas. We are in active discussions with several customers and believe a meaningful volume of large-diameter, long-haul pipeline or mainline projects will be awarded over the next several quarters. We believe several of these projects could move into construction in the second half of 2013 and beyond. We expect an improved mainline market environment in 2014, one that the industry has not seen for several years. We will continue to gain more clarity on industry dynamics and the progress of mainline projects over the next few months. In our Fiber Optic Licensing and Other segment, revenues for the year increased 12%, primarily due to the growth in providing telecommunication infrastructure services to non-telecom customers. Our fiber licensing contract sales within this segment increased at a healthy double-digit growth rate for the year. The increase in contract sales in 2012 leads us to believe that Fiber Optic Licensing revenues could increase in the double-digit range in 2013. However, as telecommunication work is no longer a strategic priority, we anticipate other telecom revenues will likely decline, offsetting any increases in Fiber Optic Licensing revenues. Turning to our outlook for 2013. The midpoint of our guidance indicates modest year-over-year growth after adjusting record 2012 emergency restoration revenues of $250 million to normalized levels of $100 million for our 2013 forecast. In addition, our guidance takes into account several factors. First, consistent with last year, our guidance takes into account potential delays in future electric transmission projects awards that may come into construction in the second half of this year. There are a number of large electric transmission projects that we expect will be awarded over the coming months that we believe we are well positioned to receive. However, a challenging and uncertain regulatory environment can cause delays in project awards and project starts. We believe transmission spending remains strong and will continue over the next several years. As we have indicated in the past, the timing of large electric transmission project awards can be lumpy quarter-to-quarter. However, adjusting for a more normalized contribution of emergency restoration services, the higher end of our expectations contemplate potential double-digit revenue growth in Electric Power revenues if project awards do in fact materialize. The second factor is the approach we have taken towards forecasting our Electric Power segment operating margins for 2013. In 2012, we generated 12.4% operating income margins in the Electric Power segment, which resulted in margins for the year above our prior 9% to 12% expectations. Three major factors contributed to our margin success: stellar execution, good weather throughout the year and a record storm year. Our guidance reflects the midpoint of our 9% to 12% operating margin segment expectations. And finally, in our Natural Gas and Pipeline segment, we have no uncommitted mainline construction revenues in our guidance for 2013. While we believe mainline project construction is possible in the second half of this year, we will not include any projects in guidance until we have a signed contract and a firm construction start date, which is consistent with the approach we established last year. We have taken a different approach to forecasting uncommitted shale gathering revenues in 2013. Last year, we did not forecast uncommitted shale gathering revenues because we were working with new customers in new markets. This year, we are forecasting enough uncommitted shale projects so that shale revenues for the full year of 2013 are comparable to 2012. We transitioned to this approach because shale gathering contracts, although quickly booked and burned, have been similar to master service agreements, where the customer contracts have been relatively consistent and repeatable. We will continue to strive to perform at levels seen in 2012. And as the year progresses, we will evaluate all factors and their influence on our expected financial performance. In summary, 2012 was Quanta's best year ever. While we are proud of our accomplishments in 2012, we are focused on the future and continue to implement strategic initiatives to position Quanta for near-term and long-term profitable growth. We could not have accomplished what we did in 2012 without our dedicated employees who are the very best in the industry. We believe we are in the early stages of a significant multiyear energy infrastructure investment cycle, and that the demand for Quanta Services provide -- remains robust for at least the next several years. Our total backlog is at record levels, and our 12-month backlog is at near record levels despite the significant revenue growth we experienced in 2012. We are confident that Quanta can continue to safely execute current and future projects for our customers, and we look forward to reporting our progress to you as we move through 2013. I will now turn the call over to Derrick Jensen, our Chief Financial Officer, for his financial review of the fourth quarter. Derrick?
Derrick A. Jensen: Thanks, Jim, and good morning, everyone. Before I discuss the results of the quarter, I'll remind everyone that on December 3, 2012, we sold our telecommunications subsidiaries, which comprised substantially all of our domestic telecommunications infrastructure services operations. We have presented these as discontinued operations in our consolidated financial statements for the current and prior periods. As such, the amounts presented in our earnings release and discussed in my following comments do not compare to our previous SEC filings, which have not been adjusted to reflect these discontinued operations. However, for comparative purposes, we have posted certain prior-period information on our website reflecting these discontinued operations. I will discuss the impact of the transaction on our fourth quarter results later in my presentation. Today, we announced revenues of $1.67 billion for the fourth quarter of 2012 compared to $1.39 billion in the prior year's fourth quarter, reflecting growth of approximately 20% quarter-over-quarter. Net income from continuing operations attributable to common stock for the quarter was $102.4 million or $0.48 per diluted share as compared to net income from continuing operations attributable to common stock of $58.7 million or $0.28 per diluted share in the fourth quarter of last year. As discussed in our previous fourth quarter guidance, included in net income from continuing operations attributable to common stock for the fourth quarter of 2012 is $2.7 million of income or $0.01 per diluted share from the release of income tax contingencies. Included in net income from continuing operations attributable to common stock for the fourth quarter of 2011 is $8.4 million of income from the release of income tax contingencies and settlements of certain tax audits and a $32.6 million charge to cost of services or $20.4 million net of tax related to a pension plan withdrawal liability. The net impact of these 2 items to the fourth quarter of 2011 resulted in a $0.06 reduction in diluted earnings per share. The growth in consolidated revenues in the fourth quarter of 2012 was driven by growth across all of Quanta's segments, as well as the incremental contribution of approximately $69.5 million in revenues from companies acquired since the fourth quarter of last year. Excluding the impact from acquired companies, organic growth for the quarter was 15.1%. Our consolidated gross margin increased to 17.1% in the fourth quarter of 2012 from 12.9% in 4Q '11. Contributing to this increase was the impact of the previously mentioned withdrawal charge, which affected the Natural Gas and Pipeline Infrastructure Services segment in the fourth quarter of 2011. Consolidated gross margin without the effect of this charge was 15.2% for the fourth quarter of 2011. The remaining increase was due to strong performance in each of our segments, as well as the impact of higher revenues, which improved our ability to cover fixed operating costs. Selling, general and administrative expenses were $117 million, reflecting an increase of $27.6 million as compared to last year's fourth quarter. This increase is primarily attributable to $14.8 million in higher salary and incentive compensation costs associated with increased levels of activity and profitability and $3.3 million in additional administrative expenses associated with companies acquired during 2012. As a percentage of revenues, selling, general and administrative expenses increased to 7% in the fourth quarter of 2012 from 6.4% in the fourth quarter of 2011, primarily due to the impact of incentive compensation costs associated with this quarter's record results. Our consolidated operating margin before amortization expense increased from 6.5% in 4Q '11 to 10.1% in 4Q '12. Excluding the withdrawal charge, operating margin before amortization expense would have been 8.8% in the fourth quarter of 2011. Amortization of intangible assets increased from $8.3 million in 4Q '11 to $8.9 million in the fourth quarter of 2012 due to acquisitions in the first and second quarters of 2012. Overall, for the quarter, our performance versus previous expectations was driven by record emergency restoration services of $130 million and better productivity on several projects, primarily in electric transmission, which led to greater revenue and profit recognition. To further discuss our segment results, the Electric Power's segment's revenues were up about $204.8 million quarter-over-quarter or approximately 21%. The record emergency restoration service revenues of approximately $130 million this quarter is an increase of approximately $86 million compared to the fourth quarter of 2011. For the full year 2012, our emergency restoration revenues increased 45% over 2011 to a record $250 million, surpassing the previous high mark of $206 million generated in 2008. Revenues during the quarter were also positively impacted by higher revenue from electric power transmission services, resulting from an increase in the number and size of projects that were ongoing in 4Q '12 compared to 4Q '11. Lastly, revenues increased due to the incremental contribution of $67.9 million in segment revenues from companies acquired in 2012. Organic growth in this segment without revenues from acquired companies was still 14.1%. At the end of the fourth quarter, 12-month backlog for the Electric Power segment increased 22% to $2.9 billion, and total backlog for this segment decreased slightly by 1% to $4.9 billion compared to the end of the fourth quarter of 2011. 12-month backlog for this segment is at a record level and has grown sequentially every quarter of 2011 and 2012, despite sequential revenue growth in this segment for all but 1 of the last 8 quarters. Operating margin in the Electric Power segment remains relatively flat at 13.4% in the fourth quarter of 2012 compared to 13.5% in last year's fourth quarter. Natural Gas and Pipeline segment revenues increased quarter-over-quarter by 18.5% to $445.9 million in 4Q '12, primarily due to an increase in the number of shale gathering system projects currently under construction. Additionally, we saw increases in revenues from natural gas distribution services as the outsourced gas distribution work for Puget Sound Energy had just started in the third quarter of 2011. At the end of the fourth quarter of 2012, 12-month and total backlog for the segment increased about 4% and 17%, respectively, compared to the end of the fourth quarter of 2011. As we've commented before, Keystone is not in any of the backlog figures presented in our pipeline segments. Operating income for the Natural Gas and Pipeline segment as a percentage of revenues increased to 6.2% in 4Q '12 from a negative 9.5% in 4Q '11. As previously noted, in the fourth quarter of 2011, this segment's operating results were negatively impacted by the withdrawal charge. Excluding this expense, operating margin for our Natural Gas and Pipeline segment would have been a negative 0.1% in 4Q '11. Additionally, 4Q '11 was negatively impacted by increased project costs related to performance issues caused by adverse weather conditions, as well as the Teamsters' union labor strike in the fourth quarter of 2011. The current-year period was positively impacted by the overall increase in the volume of this segment's revenues due to the shift to more shale gathering system projects and our ability to execute this work consistently at mid- to upper-single digit operating margins. Excluding last year's withdrawal charge, this is the fifth sequential quarter with improvements in operating margin for the Natural Gas and Pipeline segment. The results of our Electric Power and Natural Gas and Pipeline segments were impacted slightly from the disposition of our telecommunications subsidiaries, as the subsidiaries we sold did perform some electrical and pipeline services. We have combined the residual telecommunications work performed by our remaining subsidiaries with our Fiber Optic Licensing business to create a new combined segment called Fiber Optic Licensing and Other Infrastructure Services. This segment's revenues were $47.8 million in 4Q '12 as compared to $41.9 million in 4Q '11. Additionally, operating margin was 34% in 4Q '12 as compared to 37.3% in 4Q '11. Due to the lower volumes of telecom revenue in this segment, individual telecom project performance can create more significant swings in operating margins, but in general, we believe that this segment will average operating margins in the mid-30% range. When calculating operating margins by segment, we do not allocate certain selling, general and administrative expenses and amortization expense for our segments. Therefore, the previous discussion about operating margins by segment excludes the effect of such expenses. Corporate and unallocated costs increased $12 million in the fourth quarter of 2012 as compared to 4Q '11, primarily as a result of $7.7 million in higher salary and incentive compensation costs associated with current levels of operating activity and profitability and $0.6 million in higher amortization expense associated with intangible assets. Adjusted diluted earnings per share from continuing operations, as calculated in today's press release, was $0.51 for the fourth quarter of 2012 as compared to adjusted diluted earnings per share from continuing operations of $0.38 for 4Q '11. As it relates to the disposition of our telecommunications subsidiaries this quarter, we had a net loss from discontinued operations this quarter of $0.02 per diluted share. Included in these results was a pretax gain of approximately $18 million or an after-tax loss of $14.3 million resulting from the transaction, which negatively impacted discontinued operations by $0.07 per diluted share for the quarter. The net proceeds from the transaction of approximately $265 million are currently being utilized for general corporate purposes. However, we continue to evaluate additional strategic acquisitions and investments as we look to opportunistically expand our geographic and strategic service offerings. Cash flow from continuing operations was approximately $177.2 million for the fourth quarter of 2012. Capital expenditures net of proceeds from equipment sales were about $57.4 million, resulting in approximately $119.8 million in free cash flow for the quarter. For the full year of 2012, cash flow from operations of about $158.7 million, less net capital expenditures of about $197 million, resulted in approximately $38 million of negative free cash flow. Contributing to the negative cash flow for the year was a substantial revenue growth and the working capital demands associated with funding the large projects ongoing during the year. Specifically, cash flow has been impacted by increases in receivables and net positions on jobs in progress. Our days sales outstanding or DSOs were 82 days at December 31, 2012, versus 66 days at December 31, 2011, and 91 days at September 30, 2012. The increase in DSOs from the prior year end is due in part to the significant storm work I spoke of earlier, a majority of which remains uncollected as of year end due to the timing of when the work was performed during the fourth quarter. In addition, the change orders associated with the Sunrise project are impacting this year's fourth quarter and have not yet been settled due to the substantial volume of underlying supporting records that are being reviewed by the customers. Certain balances have been paid since our last earnings conference call. However, a significant amount of the change orders remain in cost in excess of billings and contribute to the overall higher DSO. Detailed discussions and document reviews, although slow, are progressing with the customer, and we currently aren't unaware of any circumstances warranting any adjustments to the amounts invoiced. EBITA for the quarter of 2012 was $166.8 million or 10% of revenues compared to about $85.3 million or 6.1% of revenues for the fourth quarter of 2011. Adjusted EBITDA was $203.8 million or 12.2% of revenues for the fourth quarter of 2012 compared to $151.4 million or 10.9% for the fourth quarter of 2011. For the 12 months in the 2012, adjusted EBITDA was $635.3 million or 10.7% of revenues compared to $375 million or 8.9% of revenues for 2011. The calculation of EBITA, EBITDA and adjusted EBITDA, all non-GAAP measures, and the definitions of these and DSOs can be found in the Investors & Media section of our website at quantaservices.com. At December 31, 2012, we had about $183 million in letters of credit outstanding, primarily to secure our insurance program, and we had no borrowings outstanding under our credit facility. In addition, at the end of the quarter, we had approximately $395 million in cash, with $141 million of the balance related to foreign operations. Considering our cash on hand and availability under our credit facility, we had nearly $912 million in total liquidity as of December 31. Concerning our outlook for 2013, we expect revenues for the first quarter of 2013 to range between $1.3 billion and $1.4 billion and diluted earnings per share from continuing operations to be $0.28 to $0.30 on a GAAP basis. These estimates compare to revenues of $1.33 billion and GAAP diluted earnings per share from continuing operations of $0.22 in 1Q '12. Our GAAP EPS forecast for 1Q '13 includes an estimate of $5.6 million for noncash compensation expenses and $5.3 million for amortization expense. Excluding these expenses, our non-GAAP adjusted diluted earnings per share from continuing operations for the first quarter are expected to be $0.31 to $0.33 when compared to our non-GAAP adjusted diluted earnings per share from continuing operations of $0.26 in 1Q '12. This non-GAAP measure is calculated on the same basis as the historical calculations of adjusted diluted earnings per share from continuing operations presented in this release. We currently expect revenues for the full year of 2013 to range between $5.7 billion to $6.2 billion and diluted earnings per share from continuing operations to be between $1.10 to $1.40 on a GAAP basis. Our GAAP EPS forecast for 2013 includes an estimate of $26.1 million for noncash compensation expense and $20.2 million of amortization expense. Excluding these expenses, our non-GAAP adjusted diluted earnings per share from continuing operations for 2013 are expected to be between $1.23 to $1.53. We are currently forecasting net income attributable to noncontrolling interests to be approximately $3 million to $3.5 million in the first quarter of 2013 and around $12 million to $13 million for the year. For additional guidance, we are currently projecting our GAAP tax rate to be between 35.5% and 36.5% for 2013 and expect our diluted share count to be around 214 million shares. We expect CapEx for all of 2013 to be approximately $200 million to $210 million, which includes CapEx for our Fiber Licensing segment of about $35 million to $45 million. And this compares to CapEx for all of 2012 of $209 million. 2012 was an exceptional year for Quanta. We ended the year with record revenues growing 36% organically year-over-year, record operating income, record electric power operating margins, record emergency restoration services and record total backlog, just to name a few. We made significant strategic moves, including selling substantially all of our domestic telecommunication infrastructure services operations, enabling us to further strategically focus on energy infrastructure markets and making additional acquisitions and investments providing further strategic differentiation from our competitors. All of this while ultimately maintaining a strong balance sheet, leaving us well-positioned for continued internal growth and further strategic initiatives. We are proud of our year and the hard work of our employees who helped produce it. This concludes our formal presentation, and we'll now open the line for Q&A. Operator?
Operator: [Operator Instructions] The first question comes from Dan Mannes from Avondale.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: And I just had a brief question, particularly on the pipeline segment. When you talk about the shale work for '13, you sort of talk through how you get to the revenue side. Can you talk through how we should think about margins on the shale work, especially given the nice improvement we were seeing sequentially during the course of '12 on shale work?
James F. O'Neil: Dan, we're saying that we should be in the mid- to upper-single-digit range on shale gathering work. That's without any big pipe for the year. Certainly, we're getting more volume. We've gotten more volume throughout the second half of the year. And Bob [ph], I would be disappointed if we weren't in the upper end of that range this year for the shale gathering work.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Okay, that's great. And then secondly on mainline, and I definitely hear your caution there in terms of putting stuff in guidance when it's unawarded, and especially given all the regulatory issues we've seen. But we're sort of hearing from the pipe developers that there's certainly a sense of maybe some concern about availability. We're even hearing some of the large developers talking about entering into alliance agreements and things like that. Can you talk about maybe your positioning for those types of arrangements beyond even KXL, and how you're looking to participate in the mainline market over the next couple of years?
James F. O'Neil: Yes, I think since August, we've been talking to you guys about how the communication between our customers has changed on the pipeline side and that we've been in discussions with many customers because of the amount of work that's going to be let out toward the end of this year and '14. And so you could have more of those strategic-type relationships versus RFPs going out, what you would normally see in a normal pipeline season. So I think that, that's the type of opportunities. We're in discussions right now with many customers. We're very pleased with the progress that we're seeing in the mainline pipeline business, and we certainly expect to see some big things, if not by the end of this year, into '14. So that would be my comments on that.
Operator: Our next question comes from Tahira Afzal from KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is on guidance at the low end. Again, you've done a great job of explaining the nuances. But if I take the $1.46 and, let's say, take out around $0.15 for telecom, take out maybe another $0.08 to $0.10 for outside storm work, I'd still end up with $1.20, which is above your lower end. So should I assume that the difference is more your caution or what you're building in regards to electric transmission as new projects roll out? And as you've mentioned -- or I guess, how should I be looking at the delta between 2012 and 2013 at the lower end, given shale work that you're assuming is kind of in line with last year?
James F. O'Neil: Well, I think that the big variance between the midpoint and the lower end would be that more of the transmission that we expect or even that we have in backlog would get pushed into the next period because of regulatory delays. And also, the margin position that we've taken. Certainly, we could have some seasonality or not as good execution to get to the middle of that 9% to 12% OpEx. So that would be the scenario on the lower end, that we would have lower margins and perhaps projects get pushed into the next period that we certainly expect will move to construction this year. But if they don't, then that will get us to the lower end of the range, which with the electric transmission is a big variable between the midpoint and the low point.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it, okay. That makes a lot of sense. And second question is, I know Keystone remains out there and a moving target. How should we be thinking about how you're treating your capacity and if you're locking some down for Keystone? Is that impacting your ability to bid on some of these long-haul pipelines? And also, if you look at some of the alternates, some other projects that have sprung up in regards to the oil sands in Canada, this seems fairly large. If I add them all up, maybe as large as Keystone. Could you talk about your market positioning in Canada versus the U.S.? And even if Keystone doesn't go through, does that imply that the eventual outcome will be net neutral for you?
James F. O'Neil: Well, you had a couple of questions there. Let me just address that we've got more capacity than any other contractor in the industry. So we've got 9 spreads that could possibly expand up to 12. So Keystone is not going to inhibit us from pursuing other pipeline opportunities. So -- and as far as Canada goes, we're well positioned in Canada, probably even more so in Canada, to take advantage of opportunities to build out projects there as well.
Operator: Our next question comes from Jamie Cook from Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Two questions -- or a couple of questions. First, on the electric power side. How should we think about margins on the electric power side? I mean, over the past couple of quarters, you've exceeded your sort of your target range given utilization and higher margin stuff that's in backlog. How do we think about that? And you talk about -- your guide seems conservative, and I understand you want to be cognizant of any potential regulatory delays or whatever, but are there any particular projects that you -- we should be watching or that could really move the needle? And then my last question is on the gas pipeline side. As the market starts to heat up, should we expect Quanta to lag in terms of winning projects just as you want to wait for better pricing? Or do you think the market is tight enough where we shouldn't see that?
James F. O'Neil: Okay. To answer the pipeline question first, we -- there won't be a lag. I mean, the industry is already tight, and I think that there's opportunities out there for us, and we're having discussions with our customers just like others are today. And it's a different environment today, and there could be opportunities that move into construction this year. For certain, in '14, we've already had work booked in '14. We can't talk about the detail, but we've got work booked in '14. So it's going to be a robust market, and there's not going to be any lag effect. As far as the electric power margins, I mean, our utilization will continue to be high, and we expect to have stellar execution as well throughout this year. The factors that affect that is that we had such great weather last year that we felt like it was prudent for us to set the bar in the middle of the range and then we'll revisit how our financial performance is throughout the year and adjust accordingly, if necessary. But it's the weather and the excess storm revenues that were predominantly driving the margin improvement in 2012, as well as great execution. So we're just going to -- it's early in the year. We'll just see how things play out. And certainly, we hope to repeat what we did in '12, but we just have to have some things going for us in order for that to happen.
Operator: Our next question comes from Will Gabrielski from Lazard Capital Markets.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: The questions I had, I guess, one, on the distribution of small projects side, PSE&G yesterday had an announcement about a 10-year plan to upgrade the grid, trying to fortify it from events like Hurricane Sandy. And then on that type of smaller project work and maybe in the distribution market, I'm wondering what your views are of the utility's ability to do that work internally today versus the need to outsource, and if you could compare it to, say, like 5 years ago when the housing market was healthier, considering the housing market has certainly improved over the last year.
James F. O'Neil: Well, distribution's very regional, Will. And many of our customers outsource a lot of these capital projects and then some do most of their work with their own resources internally. I think across the board, you are seeing increased activity and a tight workforce, not only contractor workforce, but utility workforce to do this type of work, which is an opportunity for us going forward. So -- but we do think that distribution spending will be good going forward, and we've baked some of that in to our midpoint guidance less the excess storm that we've seen in '12.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And then as my follow-up, obviously, it seems like you've found a comfort zone in the pipeline business at around a 6% margin, absent any large-diameter work that may be coming. And I'm just wondering, is that kind of the level to think about absent large-diameter work going forward from here?
James F. O'Neil: Well, I think you need to look at seasonality. I mean, our margins have continued to improve in this segment, and yet a lot of our work was in the Marcellus in the fourth quarter, which was impacted by Hurricane Sandy. So we had some weather impacts on that segment and -- specifically gathering work, and we were still able to deliver improved margins quarter-over-quarter. So like I said earlier, my expectations are that we're in the top end of that mid to high range. The seasonality in January is going to be low, though. I mean, we are in a seasonal period right now, so we expect margins should be better throughout the year as weather gets better, which is the typical seasonality we see in all of our business. Third -- second and third quarter, we should have better weather impacts than we do in the first and the fourth in a normal weather pattern year.
Operator: Our next question comes from Alex Rygiel from FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Could you discuss the 14 large transmission projects that will be completed at some point? How many of those are going to get completed in 2013? And how many projects do you have sort of in your backlog that you think you're going to be starting in 2013 at this moment?
James F. O'Neil: I think that we'll probably have 6-or-so projects start rolling off, but we've got 6-or-so projects rolling on, plus others that are out there that we feel we're well-positioned to be awarded. But it's like we've experienced over the last couple of years, that regulatory delays could impact the start of those projects. So we still think the large transmission project market is very strong, as reflected by our backlog, and we think that will continue for the next several years. But we will have some movement on projects rolling off and projects rolling on in '13, much more than we did in '12.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: That's helpful. And Jim, can you quantify the Sunrise change orders? And is there any cautiousness in your guidance from the uncertainty of the Sunrise change orders?
Derrick A. Jensen: Yes, Alex, this is Derrick. Relative to quantification, we haven't really stated a specific number since we're still in negotiations with the customer. I'd say that the balance is roughly less than 1/2 of our total cost in excess balance. And then relative to expectations, we haven't factored in anything relative to any adjustments in that receivable.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Very helpful. And one last question, could you just talk big picture about your outlook for backlog in 12 months? Do you think you can expand backlog within electric transmission during that period of time?
James F. O'Neil: Alex, I think it's possible. I mean, we continue to use the word strong for backlog because it's more qualitative, because of the choppiness or the lumpiness in awards. But the markets there would not tick [ph] by any means, and it's going to be a strong year for transmission. So as far as backlog being up at the end of the year, it's quite possible that it could be, but it's going to depend largely on the timing of the project awards in the certain calendar periods in which we measure backlog. And so -- but it should be a good year.
Operator: The next question comes from Craig Irwin from Wedbush Securities.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Jim, so in the past and even on this call, you've talked a little bit about potentially splitting some of your spreads, with 6 of the 9 currently in shale. Can you maybe give us a little bit of color on how the decision process would move on splitting those spreads, whether or not you would split spreads specifically to capture more shale work, or if this is something that you would do more to increase the overall capacity if sort of large-diameter pipe projects become available later this year?
James F. O'Neil: Well, it's all of the above, Craig. I mean, we've got a complement of equipment that we could use for whatever the customer opportunity is. So I mean, it could be to pursue more shale work or it could be to pursue more mainline work or a combination of the above. The main thing is we have the leadership, the project superintendents and the leadership, and that next level of leadership that's been trained and developed over the years to be able to lead a spread as well. So we're very flexible in that way, and I think that's an advantage, to be in one of the largest providers of that service in North America. So we're positioned to expand if necessary.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Great. And now with the disposal of the telecom segment, the dark fiber segment is something that really stands out as really not being so utility-focused, great cash flow business, great growth business for the long term. But can you discuss with us whether or not you have or maybe could consider offers for this business? And can you discuss with us why the operating margins in this segment dipped sequentially to mid-30s? Was this a function really because of the telecom segment disposal impacting project initiations, or if this is something short term and we should see the margins normalized to the roughly 50% level where they've been over the last few years?
James F. O'Neil: That's a good question, Craig. We've actually put all other telecom work, and we still do telecom services but for non-telecom customers, which is typically the electric -- the investor-owned utilities who have telecom infrastructure installed on their electric power infrastructure. And so that other telecom now goes into that Fiber Optic Licensing segment. So basically, that revenue was prior in the telecom segment, but now it's been moved into the Fiber Optic Licensing and Other segment. So Fiber Optic Licensing margins are -- continue to be consistent. But the construction margins from the non-telecom customers brings that margin down somewhat, now that it's lumped into this new segment -- or it's an addition to the Fiber Optic Licensing segment. As far as the Fiber Optic Licensing group, we look at that completely different than we did the telecom segment. That's a good business right now. It's a good place for us to put capital to grow the revenues at very nice margins. Is it strategic to us? It's not in the energy infrastructure segment. Did we look at opportunities to either grow it or even divest? Yes. But we don't feel like we've really capitalized on the investment or we've seen the returns on the investment that we've made over the last few years, and that asset in general hasn't reached its value, in our opinion, to date because of the investments we've made in different regions, which -- so we evaluate options on what we're going to do with that segment, and we'll continue to do so going forward. But it's a good business for us, and we're going to continue to grow it over the next several years.
Operator: Our next question comes from Noelle Dilts from Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: First question I have, if you could just discuss how current activity levels and project opportunities in Canada compare to the U.S., both for transmission and pipeline?
James F. O'Neil: I think we've characterized in the past that Canada is about 1 year to 18 months behind the U.S. on the electric side. So it's starting to ramp up like we experienced in the U.S. toward the end of '10 and into '11. So it's a very robust marketplace, and it's going to be more active. Pipeline is really moving forward at the same pace that we're seeing in the U.S. right now, and there should be opportunities in '14 and beyond, certainly, that we'll be able to capitalize on.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay, great. And then if Keystone is approved, could you just talk about some of the steps that will have to happen before you could potentially move into construction and how quickly you think that could happen? Would you have to go back and kind of renegotiate terms? I'm just curious to know what the steps are at this point that would have to happen.
James F. O'Neil: No, we're ready to go when it gets approved. Yes, it's -- but we could move as fast as the customer's ready to move to construction. So it's -- things are pretty much in place for us to be pretty efficient from the time the project is approved to move to construction. We'll move as fast as our customer wants us to move.
Operator: Our next question comes from Vishal Shah from Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: I just wanted to clarify your guidance assumptions. What kind of revenue growth are you assuming from some of the smaller transmission work this year? I believe that segment was very strong last year. Can you continue to see the kind of growth that you saw last year in the segment?
James F. O'Neil: In our guidance, we've assumed that we would have -- and this, again, is the excess storm revenue in 2012. So when we look at $100 million in storm being projected in our guidance for '13, we are looking at mid-single digit growth in transmission at the midrange. And like I said on the call, we could get to double-digits or higher if things go well with the permitting and regulatory project in the -- or our process in the second half of the year. And on the low end, I mentioned that we just see more regulatory delays, and we currently anticipate to where we have somewhat negative growth in electric transmission on the low end of the range.
Vishal Shah - Deutsche Bank AG, Research Division: Great, that's helpful. And on the margins in the pipeline segment, I believe a lot of the work this year will still be in the Marcellus. But if you sort of start seeing some of the other shale activity, do you see margins being at these levels? Or do you see mix shift impacting margins going forward? What are you thinking about some of the other solutions in that activity to improve margins going forward?
James F. O'Neil: Well, we won't take work unless we're in that mid- to upper-single digit range on gathering work. And we are continuing to grow opportunities in both the Bakken and the Eagle Ford that meet those margin expectations. So we think that there's opportunities not only to expand in the Marcellus potentially, but in these other shale regions as well.
Operator: Our next question comes from Adam Thalhimer from BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Was there any mainline pipeline revenue in 2012?
James F. O'Neil: There was, in the beginning, in the first quarter of '12. We had some work in Texas as well as in Canada, and then we have a little bit of a small mainline job that we're doing in Canada that some of that revenue was in the fourth quarter and some of it will be in the first quarter of this year.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then maybe you said this and I missed it, but can you comment on uses of cash now that you're after the telecom sale and strong cash flow in Q4, cash was up versus where we were this time last year?
Derrick A. Jensen: Sure. Yes, sure. This is Derrick. I mean, looking at cash and even as you look to the 2013 model, we would expect a stronger cash flow year in 2013 than here in 2012. But a lot of the things that were -- Jim has commented to about the large projects, whether they started in the latter part of '13, and more specifically, even his comments about mainline pipe going into 2014, we continue to believe that cash -- first priority is to deal with working capital associated with those large projects. Clearly, we have CapEx and, at the same time, we continue to be strategic relative to acquisitions and investments. I do think that you'll likely -- [Audio Gap] that occur potentially here in the latter part of '13 and into '14.
Operator: The next question comes from William Bremmer from Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Can you provide us, Jim, with a little update on the current pricing environment, both on the transmission side and pipeline side there? I guess my second question would really be going to Duke here, give us an update on the inspection and integrity market, what you're seeing there. And then finally, Derrick, I don't want to exclude you, SG&A, very nice, in my opinion, management, given the top line performance. Can you give us a little color for '13? Can we provide maybe a little more leverage to the model there, if that's possible for '13?
James F. O'Neil: Margins -- Bill, this is Jim. Margins in both the electric power segment and the pipeline segment continue to be strong. Margins in backlog are better -- equal or better than what we're experiencing today. So that's a good -- that's a reflection of the strong market that we're in today and the amount infrastructure that needs to be built. As far as integrity, the integrity business right now is a smaller part of the segment, but certainly, there are significant opportunities to grow that business over the next few years. And we're well positioned being one of the -- or the only contractor with its own [indiscernible] capabilities to provide a full service to our customer or provide a total solution to customers. So we're excited about that, and that's a great opportunity going forward. We're also doing work for PG&E as one of their program managers to help rebuild their gas infrastructure network as well. So we're excited about that. Derrick, I'll turn it over to you.
Derrick A. Jensen: Yes, Bill, this is Derrick. Relative to the G&A, I would anticipate something along the lines, as a percentage of revenues in '13, as what you saw in '12. I don't think that you'll see any market increase. As a percentage of revenues, I think I'd hold it basically around the same.
Operator: Our next question comes from Steven Fisher from UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just a follow-up on that last question. My question around that was how much of a benefit you may have seen in the SG&A related to the disposition of the telecom business? I guess if you're suggesting that, as a percentage of overall revenues, there will be some benefit going forward from that, is that the way to think about it?
Derrick A. Jensen: Well, I guess I'd say it this way, that I mean, all of our telecommunications operations have been reflected down in discontinued operations. So the numbers that you're seeing now are for continuing operations G&A. And I would anticipate the continuing operations G&A for '13 to run somewhat comparable to what you're seeing in '12.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then just a clarification on an earlier question on the topic of resource availability for the pipeline segment, should the big projects start to pick back up? I mean, it doesn't sound like there's any real concern about equipment capacity. Did I hear you right in saying that there really shouldn't be a resource constraint on the project manager side as well? Such that it would affect any other part of your business, you wouldn't have to take away from kind of wanting to choose where you're going to be, you can really have it all be additive, is that the way to think about it? Or do you have to hire more people?
James F. O'Neil: Well, on the leadership piece, certainly, we've been developing that next level of leadership for the last several years to prepare for this type of opportunity. So having project leadership to run additional spreads, whether it be in gathering system work or in mainline pipeline, we're well positioned to take advantage of that going forward, and it shouldn't be an issue. Of course, the industry is very tight on skilled labor right now and, certainly, that's a challenge. But we feel like we're well-positioned there as well, so that we won't be turning down any work until we're at spread capacity.
Operator: Our next question comes from Andrew Wittman from Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Just -- I wanted to ask about Howard Partners. We've seen some news out of them that they're making some investments. I guess, first off, can you talk about what's going on with Howard and how much capital that you might need to put into that venture?
James F. O'Neil: Well, Howard is doing exactly what we expected them to do. They're building out infrastructure in the Eagle Ford, which is probably one of the most dynamic shale plays in the world, certainly in the United States. And so we will continue to look at opportunities to invest with them. To date, we've invested...
Derrick A. Jensen: $93 million.
James F. O'Neil: $93 million. And we're certainly happy with that. Not only is it a great investment for us, it's bringing opportunities for -- construction opportunities for us in the Eagle Ford as well. So we'll continue to evaluate whether investments are prudent going forward and that -- with Howard Energy. But certainly, we're very pleased with what we've done to date in the opportunities that was brought to us.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got you. And just -- Derrick, just in terms of the equity and income line, that as a result of that -- as you look kind of the -- as you look into '13 here, can you just give us some color as to how you expect [indiscernible] might grow or change?
Derrick A. Jensen: Actually, I think that overall, it'll probably remain somewhat comparable to 2012. There'll be some offsets to that, as we've got pluses and minuses from various investments that are running through that line. But -- so overall, I think for the year, I probably expect something along the lines of probably around $1 million in total for that line.
Operator: The next question comes from John Rogers from Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Jim, first of all, you gave some comments relative to the distribution work in the pipeline business, but you had roughly $1.5 billion in revenue there. Is that the right way to think about your smaller pipeline capacity, within that range?
James F. O'Neil: I'm having a hard -- you're breaking up, John. I'm sorry, I can't catch the question.
John B. Rogers - D.A. Davidson & Co., Research Division: I'm sorry. Is that better?
James F. O'Neil: Yes, sir.
John B. Rogers - D.A. Davidson & Co., Research Division: Sorry, I apologize. In terms of your distribution capacity in natural gas, is it in that $1.5 billion range where your revenue levels were this year? I mean, you mentioned there was some mainline work, but just so I understand the capacity, mainline versus smaller pipe.
James F. O'Neil: Yes, I mean, distribution is a very small part of that segment. The vast majority of the revenue in that segment is from the gathering work that we're doing. I would say probably 70% to 80% of the revenues in that segment are from gathering. And then the rest of the 20% would be made up of pipeline integrity, gas distribution and so forth. Now with that said, distribution is also a significant opportunity for us because they are undergoing the same regulatory issues as far as integrity and upgrading the distribution systems. And that's a big opportunity that goes hand-in-hand with the same comments I made about pipeline integrity. It's a growth opportunity for us over the next few years.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And then just as a follow-up, you mentioned some of the returns on the capital in your various businesses. What's the gap right now between the returns in the electric power versus the natural gas business? And how long before they start to -- before the natural gas, I assume, catches up with the kind of returns you're getting in the power business?
Derrick A. Jensen: Yes, this is Derrick. The primary driver of that would be the commentary that Jim has made relative to when any of the mainline pipeline would come about. I think Jim has alluded to several times that, overall, we look for a 9% to 12% margin expectation for all of our segments. But what it would take for our pipeline segment currently to get to that range is the addition of some of the mainline construction that we're talking about. So once some of the mainline construction came about with even a few projects, we think we'd be able to get into that 9% to 12% range, which should be comparable to what you saw in electric power.
Operator: There appears to be no further questions. Please continue with any other points you wish to raise.
James F. O'Neil: I'd like to thank you all for participating in our fourth quarter and full year 2012 conference call. We appreciate your questions and your ongoing interest in Quanta. Thank you. This concludes our call.
Operator: This concludes the Quanta Services Fourth Quarter and Full Year 2012 Earnings Conference Call. Thanks for participating. You may now disconnect.